Operator: At this time, I'd like to welcome everyone to the Wright Express Corporation's fourth quarter earnings conference call. (Operator Instructions) Mr. Elder, you may begin your conference.
Steven Elder: Good morning. With me today is our CEO, Mike Dubyak. The financial results press release we issued early this morning is posted in the Investor Relations section of our website at wrightexpress.com. A copy of the release has also been included in an 8-K we submitted to the SEC. As a reminder, we will be discussing a non-GAAP metric, specifically adjusted net income, during our call. For this year's fourth quarter, adjusted net income excludes non-cash mark-to-market adjustments on our fuel price related derivative instruments, the amortization of acquired intangible assets and a small adjustment from our tax receivable agreement as well as the related tax impacts. Please see Exhibit 1 included in the press release for an explanation and reconciliation of adjusted net income to GAAP net income. I would also like to remind you that we will discuss forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors, including those discussed in our press release, most recent Form 10-K and other SEC filings. While we may update forward-looking statements in the future, we disclaim any obligations to do so. You should not place undue reliance on these forward-looking statements, all of which speak only as of today. With that, I'll turn the call over to Mike Dubyak.
Mike Dubyak: Good morning, everyone, and thanks for joining us. By all accounts, 2011 was a strong year Wright Express. For the full year, revenue grew 42% and adjusted net income grew 32%. This compares to our initial guidance for 2011 of revenue growth of 30% and adjusted net income growth of 19% at the midpoint of the ranges. This performance was driven by continued execution against our multi-pronged growth strategy to expand our North American fleet business, diversify our revenue streams and build out our international presence. We experienced transaction growth of 8%, added another large travel client in our Other Payment Solutions segment and had the impact of the acquisitions of Wright Express Australia in 2010 and rapid! PayCard last year. For the fourth quarter, revenue came in at the top end of our guidance range and earnings exceeded our expectations. Revenue grew 22% to $140 million and adjusted net income increased 33% to $38 million or $0.98 per share. During the quarter, we once again saw strong growth from our corporate charge card product in our Other Payment Solutions segment and steady growth in our Fleet segment. In addition, we saw improved performance in our credit trends. We're viewing some key metrics. Consolidated payment processing transactions increased 3% over the prior year. Existing customer gallons domestically or same-store sales was down approximately 0.4%, an improvement from the third quarter. We believe this continues to be reflective of the overall economic picture. Taking a look at our same-store sales by SIC code, we had mixed results in our two largest concentrations. Business services was slightly negative for the quarter, and construction was slightly positive for the quarter. Also positive, transportation was up 3%, which is generally considered a good indicator for the economy. By region, we saw a continuation of recent trends. The Southwest was the strongest region, while the Southeast was the weakest region. Overall, we believe these results are basically neutral with continued slight variations and stable trends. In terms of vehicle growth, the total number of vehicle service averaged $6.6 million, a 14% increase from the same period last year, driven by the launch of BP in Australia and New Zealand, as well as growth within our core fleet business. In North America, the core fleet business posted steady performance as previously announced signings were implemented in the fourth quarter. In addition, our sales force added new wins in the mid-to-large fleet market in the energy, government, communications and construction industries. Over the past year, we saw a good momentum in the core North American fleet business. We extended our market share with both large and small fleets by increasing our penetration and signing new private label customers. Furthermore, our continued focus on innovation led to the introduction of new products, features and applications such as fuel site locator, WEXSMART's Fuel Guard and pump shut-off. These products enhance the value we provide to our customers and increase the efficiency and effectiveness of their fleets. Internationally, Wright Express Australia continued to meet our expectations. During the quarter, we had continued smaller fleet wins and signed a few existing larger clients to multi-year contract extensions. Turning to the Other Payment Solutions segment, this segment once again posted strong growth in the fourth quarter, driven by our corporate charge card product. Spend volume increased 66% over the prior year to $2 billion primarily from our single-use electronic product in the online travel vertical. While online travel has been the predominant growth channel for this product, customer and industry diversification has also been an objective for us in this segment. In 2011, we made some traction on this call within the insurance and warranty vertical and we continue to build on the pipeline both here and in additional verticals. In terms of our prepaid card, rapid! PayCard has performed to our expectations since we acquired it back in April and broadened our payment solutions offering. We like what we see in this space and increased our sales rep headcount to further enhance our future growth on this initiative. I now want to discuss our thoughts and outlook for 2012. In our fleet segment, we expect our North American business to see steady growth driven by the continued execution of our strategy to grow both up and down market. Of the 5.4 million cards that we have in North America, roughly 60% are composed of medium to large fleets with the remainder being small fleets. One of the areas we plan to focus more of our attention on during the year is our OTR product. While this product is still relatively new and development is still nearly stages, we remain optimistic about its long term potential. As such, we plan to make additional investments in this program over the next couple of years to increase our acceptance network and accelerate its growth timeline. At Wright Express Australia, we will continue to be diligent in exploring additional ways to increase our penetration in under-penetrated segments of the fleet market and identify opportunities to enter the Asia-Pac market. Over the course of 2012, we expect to see continued steady growth in our Australian fleet business. Outside of Australia, we remain focused on building stronger relationships with major and regional oil companies as well as looking for additional ways to further accelerate our underground presence overseas. This will include the entrance into core markets via bolt-on acquisitions or strategic alliances. In our Other Payment Solution segment we plan to build of our successes and position the business for the future growth through further diversification. In North America, now that one of our new major accounts is fully implemented, we expect growth for the corporate charge card product this year to be in the 20% to 30% range. We also expect international expansion of the product to have the potential to layer on additional growth in the future. Another priority in 2012, also in our Other Payment Solution segment will be to accelerate the growth and development of our prepaid payroll card. We still see great success from the cross-selling efforts by our sales team and we see promise in the payroll space both organically and inorganically. As a result, we plant to ramp up our investment in this product and double the number of sales reps dedicated to this business. We continue to believe prepaid payroll cards have the potential to become an important contributor to our Other Payment Solutions segment over the longer term. With respect to our corporate charge card product, we recently signed our first foreign customer for the single-use electronic product in Europe. This new customer is in the online travel vertical and we view this as an important step as it transports our intellectual capabilities outside the U.S. This win is in an area where we have tremendous amount of expertise and prudent success with our U.S. travel partners which are key selling points in this region. For these reasons, online travel will be a focus as we look to grow in Europe with new clients, with the pipeline indicating another potential signing later this year. We also see opportunity to grow with our U.S. travel partners as they expand their business overseas. To out this opportunity in perspective, in 2011 international bookings from our U.S. travel partners totaled $2.6 billion or about one-third of total purchase volume. We will also be looking at additional verticals where single use product could be successful. Overall, we feel very good about our expansion into Europe and growing this business will be another top priority for us in 2012. To conclude, we are very pleased with our performance in 2011 and the foundation it establishes as we embark on 2012. We believe we are well positioned to further capitalize on opportunities in the marketplace. While the broader economic picture remains more or less stable, our three main priorities for the upcoming year are clear. And our overall strategy remains unchanged. We will continue to execute against our multi-pronged strategy to grow our North American fleet business, diversify our business and further develop our overseas presence to drive continued performance across the company. We look forward to updating to you on our progress throughout the year. And now I'll turn the call over to Steve to discuss our financials and review our outlook for 2012.
Steven Elder: Thank you, Mike. For the fourth quarter of 2011, we reported total revenue of $139.8 million, an increase of $24.9 million from the prior year period and at the high end of our guidance range of $135 million to $140 million. This performance was driven primarily by strength in our Other Payment Solutions segment and higher fuel prices. Net income to common shareholders on a GAAP basis for the fourth quarter was $32.8 million or $0.84 per diluted share. Our non-GAAP adjusted net income increased to $38.4 million or $0.98 per share, which is above our guidance range of $0.88 to $0.94 per share. This compares to $0.74 per share reported in Q4 last year on an adjusted net income basis. The increase versus our guidance was primarily driven by improvement in our credit loss trends and good control over our operating expenses. For the full year 2011, revenue increased 42% to $553 million from $390 million in 2010. On a GAAP basis, net income was $3.43 per diluted share in 2011 compared to $2.25 per diluted share in 2010. On an adjusted net income basis, earnings increased 32% to $3.64 per share from $2.75 per share last year. In terms of key performance metrics for the fourth quarter, total fleet transactions increased 8% over the prior year. Payment processing transactions were up 3% in total. Transaction processing transactions increased 31% resulting from the addition of the BP contract in Australia and New Zealand. I'd like to point out that in Exhibit 2 of our press release, Q4 2010 data has been updated to remove some non-fuel payment processing transactions from Wright Express Australia operations. Our net payment processing rate for Q4 2011 was 1.66%, which was down 7 basis points versus Q4 2010 and up 2 basis points versus the third quarter of 2011. This rate will vary with fuel prices due to the impacts of our hybrid merchant contracts. The primary reason for the decline in our rate from last year was due to changes in fuel prices. Finance fee revenue in the Fleet segment was up $1.1 million compared to Q4 last year. As a percentage of total dollars of fuel purchased, it was approximately 10% lower domestically than last year. The average balances that are past due and incurring late fees continue to be smaller when adjusted for changes in fuel prices and the number of customers that are paying late has continued to decrease compared to the same period last year. This is a good sign for the long-term health of the portfolio; however, it hurts our short-term profitability. For the fourth quarter, revenue in the Other Payment segment increased 54% or $11 million year-over-year and represented 23% of our total revenue. The increase in revenue was driven primarily by our corporate charge card product in the online travel vertical with a smaller contribution coming from rapid! PayCard. Spend volume on our corporate charge card product increased $800 million over last year or 66% to $2 billion for the quarter. The net interchange rate on our corporate charge card product for Q4 was 98 basis points, down 3 basis points year-over-year, primarily due to the mix of contracts and higher foreign spend which generally has a lower interchange rate than domestic transitions. Moving down the income statement, total operating expenses on a GAAP basis for the fourth quarter were $79.1 million versus $71.9 million last year. The majority of the increase was related to our service fees with the remainder being smaller increases. Salary and other personnel costs for Q4 were $25.1 million compared with $23.6 million in Q4 last year. The increase was driven primarily by a reduction in internally capitalized payroll and headcount related to the acquisition of rapid! PayCard. As I mentioned earlier, we saw an increase in service fees which were up $4.9 million over the prior year to $18.2 million. The majority of this was related to the 66% increase in volume on our corporate charge card product as well as an increase in cross-border fees. In total, credit loss for the fourth quarter was $7.1 million compared with $7.2 million in Q4 last year. Total domestic charge-offs in the quarter were $8 million and recoveries were $1.5 million. Domestic fleet credit loss was 15 basis points for the fourth quarter compared to 19 basis points in the prior-year period and our guidance range of 22 basis points to 27 basis points. The outperformance relative to our expectations was driven by improvement in the aging and an increase in recoveries. We expected to see our aging deteriorate during Q4 as it normally does; however, it came in better than we anticipated as we did not see our normal seasonal degradation. Our effective tax rate for Q4 on a GAAP basis was 36.1% compared to 37.6% in the fourth quarter of last year. Our adjusted net income tax rate this quarter was 35.8% compared to 37.5% for Q4 a year ago. The decrease in the A&I tax rate compared to the prior year is due to our decision to indefinitely reinvest our Australian profits outside the U.S. We expect our A&I tax rate to be between 35% and 36% for 2012. Spending a moment on our derivatives program, during the fourth quarter of 2011, we recognized a realized cash loss of $4 million before taxes on these instruments and an unrealized loss of $2.9 million. We concluded the quarter with a net derivative liability of $5,000, essentially breakeven. As we have indicated previously, we have hedged approximately 80% of our domestic exposure to the fourth quarter of 2012 and the rest of the percentages to the first half of 2013. For the first quarter of this year, we've locked in at a price range of $3.09 to $3.15 per gallon. For the full year, the average price locked in is $3.33 to $3.39 per gallon and increases each quarter as we move through the year. All else equal, the higher prices we have locked in for 2012 roughly equate to an incremental $0.25 in EPS in 2012 compared to 2011. While fuel prices have moderated from their highs, we had been hedging in an environment of increasing fuel prices. As such, the company's average hedged price of fuel continues to rise while protecting the company against the volatility in both short-term fuel prices and cash flow. We continue to target hedging 80% of our fuel price exposure in the U.S. on a rolling basis, which will effectively cover 65% to 70% of our overall exposure. The impact from currency movements while negative was minimal during the fourth quarter. Turning now to the balance sheet, we ended the quarter with a total balance of $295 million on our revolving line of credit and term loan as we paid down $65 million in debt during the quarter. As of December 31, our leverage ratio was 1.2 times EBITDA compared to 1.9 times at the end of Q4 last year. For the full year, we paid down a total $112 million on our financing debt balance. For the near term, our priority remains to pay down debt, but we continue to look at acquisitions as a way to accelerate our growth objectives. In terms of capital expenditures, CapEx for the fourth quarter was $5.3 million and total CapEx for the year was $25.1 million. Our depreciation expense was in line with the CapEx we've recognized during the year. Before I move on to guidance, I want to discuss the agreement with Higher One that was announced last month. While not part of our historical funding strategy, this was an opportunistic deal that made a lot of sense from both the financial and risk perspective as it lowers our overall funding cost and diversifies our funding sources. This agreement will bring in minimum level of deposits to our bank, which we would be able to use to replace a portion of our CD portfolio. At times, this may lead to having a cash balance and if so related interest income. We will pay a variable interest rate on the average balance based on the market rates. We expect this will lead to meaningful operating interest expense savings in the second half of this year. The expected decrease in interest cost is included in our guidance assumptions which I will discuss next. In 2012, we look to build off the strong foundation in 2011 and deliver continued solid performance across our business. Our guidance for the first quarter of 2012 and the full year reflects our views as of today and as made on a non-GAAP basis. For the first quarter of 2012, we expect to report revenue in the range of $134 million to $139 million and adjusted net income in the range of $34 million to $36 million or $0.87 to $0.93 per diluted share. These figures assume normal seasonality trends in the corporate purchase card and prepaid businesses. For the full year 2012, we expect revenue in the range of $590 million to $610 million and adjusted net income in the range of $160 million to $168 million or $4.10 to $4.30 per diluted share. This guidance assumes that domestic fleet credit loss will be between 13 basis points and 18 basis points for the first quarter and for the full year. Our guidance also assumes domestic fuel prices for the first quarter will be $3.56 per gallon and $3.59 per gallon for the full year. These fuel price assumptions for the U.S. are based on the applicable NYMEX futures price. We're also assuming that the Australian dollar will remain at a premium to the U.S. dollar in the range of the current spot rate. In 2012, we expect CapEx to be in the range of $28 million to $32 million compared to $25 million for 2011 and would be composed of ongoing investments in new and existing products as well as international investments. And now, we'll be happy to take your questions.
Operator: (Operator Instructions) Your first question comes from Sanjay Sakhrani with KBW.
Sanjay Sakhrani - KBW: I had a few questions. One is just on payment processing transaction growth, which is up by 3% year-over-year, could you just talk about how we should think about that growth rate this year, because it was a little bit softer than what I had thought? And then just on credit quality, I think last conference call, you talked about perhaps it being a little bit softer than what you guys had anticipated, but now it seems to have come in quite nicely. So could you just talk about what the trends are there? And then maybe finally just ask my questions upfront, Steve, you talked about paying down debt with excess capital generation. Is that assumed in your guidance?
Steven Elder: On the transaction growth, we clearly saw compared to the fourth quarter of '10, which actually was a pretty good year with the same-store sales growth which we saw actually slightly negative same-store sales growth in the fourth quarter of 2011. So that was probably a couple of percentage points. We also had less equivalent fueling days or business days in the quarter, the holidays and the weekends, so that hurt us to some extent. But I think going forward, we're still going to see low-single digit growth unless we start to see our existing customers or same-store sales start to grow. If they stay flat, which we've assumed right now in our guidance and our budget process, we're looking at low-single digit growth on the fleet payment processing transactions.
Mike Dubyak: The only thing I'd add to that as well is if you noticed in the Exhibit in the press release, each transaction was actually a little bit bigger as well. If you normalize that, that's about 1.5% of a change as well. In terms of the credit, in the summer months and July or August when we saw a little bit of softening and we warned everyone, that turned around pretty quickly, and that does from time to time happen. Usually what we see is in Q4 the aging gets worse, especially in December. And that just did not happen this year. It was very consistent with what we saw at the end of Q3. So obviously when we gave our guidance last time, we had expected that to soften up a little bit, as it usually does, and build that into the basis points that we guided everyone towards. But like I said, customer behavior just didn't happen and therefore our credit loss was a lot better than we expected it to be.
Sanjay Sakhrani - KBW: And then on capital?
Steven Elder: Yes, we are going to continue to invest in our business. We are looking at some potential acquisitions that hopefully will come to fruition, but there is no guarantee on that. And then we would also look beyond that if we continue to pay down and don't do an acquisition at some stock repurchases.
Sanjay Sakhrani - KBW: Better than your guidance, do you guys assume that you pay down the debt and that helps interest expense?
Mike Dubyak: Yes, we do.
Operator: Your next question comes from Roman Leal with Goldman Sachs.
Roman Leal - Goldman Sachs: First on the commentary when you look at all the SIC codes, you basically saw it overall and that's neutral, was the biggest driver on the same-store sales in the quarter the business services, and is that the only call out there? And more broadly speaking, what do you think the biggest risk comes from in 2012?
Mike Dubyak: I mean if we look at same store sales, they're all just bumping around close to being just neutral, but quite frankly except for construction and transportations, some of the others, manufacturing retail, we talked about business services were also down, wholesale was down. But they're slight. Some are down less than 1%. We have seen pretty much the same thing in January. We're seeing again construction being positive in January. Business service is being down and transportation being up. So again, unless the economy improves, that's what we said right now, it's stable and we kind of factored in just basically stable trends throughout the year, we'd love to see the economy get better and start to see the trends go up which would help our growth rates.
Roman Leal - Goldman Sachs: And how much from your international win on the single-use product that you have baked into your guidance for 2012, and is that a potential upside to the guidance?
Steven Elder: We do have the international win that we talked about. It is in the guidance. But I would say in Europe generally it's much more fragmented market, and this is a relatively small client. The more important part of that win is the fact that we can take the process that we have here, the intellectual capabilities, I think as Mike described, and move it to another geography.
Mike Dubyak: And we're going to be expanding sales reps. Because we're comfortable now, we can do that. We actually brought over one of our stronger sales reps from our MasterCard program, online travel program here in the U.S. who is already there in the U.K. and helping us go out and really expand our sales efforts against that product. So again, the intellectual capabilities are now being transported and we want to ramp up the go-to-market strategy.
Roman Leal - Goldman Sachs: And lastly on the OTR products having some early success there, have you shared how large the opportunity there is and how competitive the industry is?
Mike Dubyak: Well, it's a very large opportunity. The over-the-road heavy truck business, I don't have it in front of me, but it's probably pretty close to a third of the overall volume that spent by commercial fleets, even though less vehicles, but their fills are 10 times as much as what a small van or automobile vehicle would be. So it's a very large market. The market we're going after is to make sure we can satisfy our mix fleets, but also then go into the over-the-road market as well directly. We won't see a lot of that success this year. We're still building out acceptance, but we believe building our own close-loop network is the right thing to do for us to control that. And then as we do get further acceptance in critical mass on acceptance get to a tipping point, then really try to ramp up the growth on that product.
Operator: Your next question comes from Phil Stiller with Citi.
Phil Stiller - Citi: I had a question on the deal pipeline on the fleet payment side of the business. I was wondering if you could comment on materiality of any deals that you have in there. Is there anything big enough that could materially change the transaction growth rate for 2012?
Mike Dubyak: No, I would say that we're working on some things that might have impact more in 2013. I don't think there is real large step function on the fleet side for 2012. So it's really just our core North American go-to market strategy of going after it directly and working with our channels either our leasing companies or oil companies to gain market share.
Phil Stiller - Citi: And on the expense leverage that you guys experienced, you did a great job sequentially expenses were down 9%. Most of that came from the salary, another personnel's. I was wondering if you could comment on what your expectation are there for 2012 and what your plans are for headcount overall?
Steven Elder: In terms of the base employees that we have there we've obviously built in some normal salary increases for everyone. We've got the plans to add somewhere in the range of 50-odd people next year. Cross all geographies and all products and everything but in total, so that's all built in the guidance and relatively normal. We've got a pretty scalable business and so that headcount growth is kind of reflecting that. When you look at the guidance ranges on revenue, at essentially flat fuel prices, you're looking at real volumes there, as opposed to fuel prices. So you're looking at 10% kind of revenue growth or little bit less on the bottom end of our range, and in the range of 5% headcount growth. So it's showing some nice scale there.
Phil Stiller - Citi: And then on the MasterCard purchase volume, did I hear you guys right that it was going to up to 20% to 30% this year. And if so I understand you're going at for little different comps but why is it decelerate so much from the fourth quarter level of 66%?
Mike Dubyak: It's really the large online travel customer we've brought on and then it's essentially annualizing that. I mean you'll see that 20% to 30% was for the full year and you'll see it probably a little bit stronger than that in the first half and getting down to that range by the second half of the year.
Phil Stiller - Citi: Is there anything we should know about the interchange rate on that side of the business for 2012? I know you had a small benefit in the third quarter but how should we expect that to trend this year?
Mike Dubyak: Well that's you know somewhat out of our control. We don't set the interchange rates obviously and it's a matter of how much day did the merchants pass and the mix is where the transaction has occur whether they are domestic or international. So we're planning on things to remain pretty consistent. And then you're going to see mix changes by contract essentially during the year.
Operator: Your next question comes from Bob Napoli with William Blair.
Bob Napoli - William Blair: The customer retention, Mike, you guys have always had very high customer retention. Any change, I don't think you gave that metric or you missed it at the fourth quarter?
Mike Dubyak: We probably should have given it because it was a record low year. It was probably our best year I know at least in the last five. Total attrition voluntary involuntary was 3.5% which is extremely low. So we were very proud of that which shows the customer experience continues to be very strong working with us. It's probably the lowest we've had in 10 years.
Bob Napoli - William Blair: Is it getting any more competitive? I know one of your competitors, FleetCor yesterday announced a deal with PHH Arval. PHH I know has been a customer of yours for a long time, can you color on that?
Steven Elder: We have a great relationship with PHH in the core business that we do business in the U.S. today. We have over 200,000 vehicles with them on a co-brand card, that's very strong in terms of that relationship. They were looking for they have a heavy truck segment of their business that we were not servicing. They did want greater side acceptance than our OTR product is giving today as we say we're still building that out. We did not even bid on that business because we knew we didn't have the capability in terms of site acceptance. We have the functionality that we're building but they wanted the functionality across the broader range of sites that we could not supply. So we did not even bid on it. So we feel very good about the relationship with PHH, its just the heavy truck program in that case was not something we were able to take on.
Bob Napoli - William Blair: Its great job on the Other Payments business but now that it's getting so much larger, I would just like to understand little bit more maybe what the length of the contracts are with people like Priceline. I know you've been working with Priceline for a decade. But Priceline, Expedia, what are the terms of these contracts and how often do they get the terms get?
Steven Elder: They are typically long-term in the range of three to five years. So we do renegotiate on a regular basis. I think we announced, I am not sure, on one of the last calls last year that we had re-upped with price line. So they are long-term contracts.
Bob Napoli - William Blair: And then just on the BP business in Australia and New Zealand, I know that initially it's very small revenue per transaction. But I think the goal is to move that overtime to a payment processing transaction to a full outsource if possible. Are you making any headway in that? Are you providing any additional services that look like your revenue per transaction and the transaction processing area was up a little bit?
Steven Elder: But it's not due to BP. So there is discussions going on, but there is nothing that's happened that has moved any of the operating back-end over to, if you will, Wright Express Australia. But we've got a great relationship. They are very pleased with the product. We keep building up the product for them. And we think it will give us an opportunity at least to have serious discussions around providing other services in the future. But it's not there right now. It's not build into anything for 2012.
Bob Napoli - William Blair: And last question, on your acquisitions strategy, who are you competing with? I would imagine you probably seeing fleet core at certainly at any sizable acquisition you guys are probably competing with each other. And did you bid on the (All Star) transaction that they got? So how competitive is it, I would imagine you looked at the (All Star) transaction?
Steven Elder: Yes, we did. We knew there was a process. We knew the business since they were a sister company of ours, back in the early part of 2000-1999 that time period. So we knew the business, but that's basically all I can comment on regarding that piece of business. I think it's fair to say, if there is process then we're going to run into fleet core and probably some of other competitors. We're clearly looking at other areas of diversification than we run into other competitors. In the case of rapid!, it wasn't a process. This was something that we were pursuing and we're able to work something out with them. So as we look at diversified opportunities, a lot of these maybe early on in terms of their maturation and you won't really do a process. But I am sure in the future we could see some processes on the other payment solutions as well. So it varies. It's all over the Board quite frankly.
Operator: Your next question comes from Greg Smith of Sterne Agee.
Greg Smith - Sterne Agee: Just first question, Steve, where can you currently hedge thus far as what kind of rough ranges?
Steven Elder: Its right around $3.45 to $3.50 somewhere right in that range. I mean that's out into the future.
Greg Smith - Sterne Agee: And then, what's the rationale for, it sounds like you prefer to pay down debt over buybacks. I would assume buybacks are much more accretive. What's kind of the rationale there?
Steven Elder: It's just really I think saying there're maybe opportunities to invest in, either organic or inorganic situations. I don't want to make a statement to say exactly what that means, it just says we're looking at opportunities.
Greg Smith - Sterne Agee: And then I guess where, as we just think about your CapEx in investment spending in 2012, where is that you're going to be focused? You've mentioned some of the new problems, it sounds like it's a long haul over the road, prepaid, are there other areas where you're going to be spending significant amount of investment dollars this year?
Steven Elder: I think there's a chunk internationally as well. For the most part it's internally developed projects.
Greg Smith - Sterne Agee: And then, can you just talk about how your contract renegotiations generally have gone with the fuel distributors just in your core North American fleet business, is pricing coming in favorably, is there pressure? Just give us some thoughts on that, please?
Steven Elder: There's really been no change of any materiality last year or as we look forward into the future. There is always that chance that something gets into negation, but right now they're very stable, is the best way to categorized it.
Operator: Your next question comes from Tien-tsin Huang with JP Morgan.
Tien-Tsin Huang - JPMorgan: Mike, you've mentioned the possibility of a big signing on the single use side. Where is this in the award process? And how big could this be? Could this be a big or I guess maybe a top five kind of customer?
Mike Dubyak: I think the only signing I mentioned was in Europe. And it's a small customer. I think it's more indicative as we talk about moving our product capabilities into that market. And then as I said, starting to grow the sales force and go further into trying to extend our presence in that market. So it's not a large OTA customer in the market, but it's indicative again of being able to at least start to penetrate with our products in that market.
Tien-Tsin Huang - JPMorgan: I thought you also mentioned the possibility of a big signing this year. Do I hear that incorrectly?
Mike Dubyak: Well, maybe I thought it was regarding the fleet business overall. What I was saying was there's opportunities that we are looking at that would have more a step-function impact next year for successful than this year.
Tien-Tsin Huang - JPMorgan: That's on the fleet side. And I'm sorry, I thought that was tied to the single use that you we're talking about.
Mike Dubyak: Maybe I missed that. I thought it was on the fleet side. And that's why I answered it again, so I thought it was against the fleet.
Tien-Tsin Huang - JPMorgan: On the Higher One bank deal, Steve, would you give the interest savings and how the balances are going to vary quarter-to-quarter? I'm sure there's going to be a little bit more volatility or use to. So I'll make sure I get the modeling right on them?
Steven Elder: I mean the balance will be, you know, these are funds from college students essentially when they get their financial aid packages. So it's typically going to be highest in the winter, January, February kind of months, then it will trail down and then you'll get some more in the fall. So it is going to be a bit volatile. Like I said that we do have minimum commitments of deposits. So that's what we're using to offset our CD portfolio. And then to the extent that we are able to, we will what other CDs and/or fed funds balances expire and use the Higher One fund for those. But I pretty much expect it points in time, we're going to have some cash balances that will be unable to take advantage of in terms of offsetting other balances. But we'll just take those and put them on deposit and earn our interest income from the federal reserve on those.
Tien-Tsin Huang - JPMorgan: So I know you mention second half we'll see a lift, can you be a little bit more specific there?
Steven Elder: Well, I don't want to give up too many specifics on the contract. But in terms of the deposits, I think it's fair to say that we're expecting hundreds of million dollar when the program gets ramped up.
Tien-Tsin Huang - JPMorgan: I'll follow-up with you. I was just thinking more about the interest line there as the year progresses? I can follow-up with you up on that. I guess just last one for me, just I caught the same-store discussion being stable for the, but what about in Australia, what's the outlook there for same-store growth in Australia?
Steven Elder: We don't have the same sort of data. Unfortunately, we hope to get to that point at somewhere down the road. I think the economy is strong. So that's all we can base it on at this point. Hopefully seeing their economy continue to stay strong and so they continue to grow. But we don't have the same-store sales business intelligence that we have here in the U.S.
Operator: Your next question comes from Tom McCrohan with Janney.
Tom McCrohan - Janney: Just wanted to drill down on the fleet business, given that it's probably over half to your total revenues. And just want to understand for the guidance this year, what are you baking in as far as growth and payment transactions?
Steven Elder: I think it's pretty consistent with what we said historically. Its going to be mid-to-single digit transaction growth rates would be the baseline if the economy improves as Mike said. We could get a little bit of lift on that. But the free business, essentially in North America it's going to be mid single-digit kind of growth and then we supplement that with other fees and with the other Payments Solution segment.
Tom Mccrohan - Janney: It may just sounds conservative and just hear me out, I want to get your thought on this. I mean that when imply you'll add this year about $10 million of incremental payment transactions. So if I'm doing the math rights you exited this year with about $250 million, little under. Than the last two years, Steve, you've added each year an incremental about $25 million of new payment transactions in '10 and in last year and this past year. And if you look at last late year's you've grown payment transactions between 9% and 16% with the exceptional of '08 and '09 to do the economic downturn. So how we'll reconcile the last few years adding $25 million transactions, your guidance this year which is implying only about $10 million to $12 million of incremental transactions, in the longer term trend where you've seen growth well above what you're baking in for guidance this year?
Steven Elder: I think this past year in 2011 and to a degree in 2010 the Australian acquisition certainly helped our transaction levels. And again to Mike's point to the extent that we get something like in another fuel type acquisition in future, that would clearly help those numbers. The other big thing is we had a series of large fleet wins in kind of the '09 and '10 timeframe. And they were significant to state of Florida, Florida Power & Light, all kinds of big names that we have described over the course of last couple of years. Those all came on, we also brought on a couple of decent size private label portfolios with Sunoco portfolio, and the ConocoPhillips portfolio. And there is the GSA in 2009. So there has been some very large fleet wins in there and it's been great execution over the last few years. And when you look at just kind of normal growth coming from our sales force without some of those very large wins, that's kind of what we're looking at in that kind of range.
Tom Mccrohan - Janney: On acquisitions, the Australian deal was so successful and I know you talked a little bit about on this call. But if there was a market that with make sense to enter, can you give us kind of the short list of areas you think your product could translate well into that you're not in today.
Steven Elder: Well, we are looking at Europe, which we have been and still looking to make progress there in 2012. And we're also looking at entry strategies and models for parts of the Asia-Pacific and doing some exploration as well in the Latin America and South American market. So we're looking at all those, but we'd like to see progress in the Europe specifically in 2012. The others probably will just have entry strategies that would be build-on in 2012.
Tom Mccrohan - Janney: Mike, are the markets setup in those markets you just called out dominated by handful of players or is it more fragmented?
Mike Dubyak: Well, in Europe, I think it's controlled by the majors and even the national oil companies who have their own fleet card programs. They really are not truly, if you will a universal fleet card products in Europe of any size. There are some within segments, I mean, quite frankly our program only in the U.K. was a large universal product in that marketplace, but you don't find that in the Pan-European market of any size. So I think that a lot of this would be through the oil companies bringing or processing and back-end operations capabilities and hopefully funding capabilities to penetrate that market. And then try to build out some of the other segments as we have in the U.S. When you get over to Asia-Pac, it's very different by market. We're trying to narrow down to two or three markets that we're focusing on. We've done some entry strategy consulting work. So each one of those could be very different, even the way the products that we go to market could be different. You might go to market with the prepaid product versus a credit product as an example.
Tom Mccrohan - Janney: And one last question I'll jump off the queue. The Australia deal, Mike, was that 10 years in the making or is that something happened quickly?
Mike Dubyak: Well, it's a business that quite frankly, we've known about, I've known about for a long time and we watched it. It actually came up for an opportunity to buy at in '06 and management took it private with the private equity group. So we were looking at it then. And make sure that if they were going to do something, we'd have a chance again. It was process that was run with the private equity group. But it was something that we had known about for quite-a-while and thought it would be the kind of the easiest way to move into the Asia-Pac marketplace. And then try to build from there.
Operator: Your next question comes from Tim Willi with Wells Fargo.
Tim Willi - Wells Fargo: Just a few questions I had just a follow-up here. Number one is on the investments that you're making this year that you talked about. Is there anything around those types of investments that would maybe a one-time issue or transitory in nature and would not occur in '13 or the sort of permanent parts of the expense structure that you're putting into place as we think about building out our '13 model, so just wanted to understand that dynamic a little bit?
Mike Dubyak: I would say if we're looking at the OTR that's probably going to be something that we will continue to invest in even into 2013. Payroll is something that we are looking at expanding. So I think there will be investments there to keep expanding that both either to go-to market strategy or trying to find other portfolios and ways to grow in that business. And Steve talked about Europe. So we are getting traction in Europe. There is going to be some build out cost not expensive but you still have to do some things to make sure you're putting everything in place to be a player in the European market especially with our online travel program and potentially as I said earlier with the fleet program in Europe. So those investments will continue into the future as we enter different markets or different countries.
Steven Elder: I'd kind of characterize it as startup expenses. We're really starting things up and scratch. And the people you put in place to start those businesses or start those products, they don't go away. But you eventfully, hopefully get some revenue to offset them and start making some money.
Tim Willi - Wells Fargo: And my second question is going back to U.S. fleet. Just sort of curious obviously you guys had good success in signing out customers throughout the course of the year to offset the slightly negative same-customer growth. Would you predominantly describe these as customers that just haven't been using the product or do you feel like there is a little bit more competitive takeaway involved. Just sort of curious how you're viewing the target base and the types of new wins that you're thinking, just for curiosity?
Mike Dubyak: I talked about like 60% of our business would be considered mid-to-large businesses. In that case, we're mostly taking market share. So we are wining against the competition, when we are winning in the mid-to-large business segment. If we're down market, as we've said before the biggest competitor is probably cash and general purpose cards and that's why it's so important as we talked about signing Wawa and different smaller portfolios, Pep Boys, whatever. They allow us just to get into those smaller businesses as through a channel. So as I said, we're moving up and down the market in different ways. But we're growing in the small fleet segment and we're growing in the mid-to-large. But some were taking market share or the others were taking market shares not from competitors, but as I said some cash with general purpose cards.
Tim Willi - Wells Fargo: Can you say anything around small business formation, just what's your market intelligence and things like that that you encouraged by or do we just tie back to your comments around the economy sort of is what it is.
Mike Dubyak: It's encouraging to see bad debt trends even the attrition trends people are loyal. But I think that's a lot to do with our customer experience. At least it's stable out there right now. I think business confidence hopefully will continue to grow. We all read the nightly news or see the nightly news and see that at least and see that at least job applicants, there is opportunities now in the marketplace. So all that has to hopefully be positive signs and as you know for small businesses as the economy grows. We see that in the construction area, it's up. It may be slightly up but it is nice to see it up versus just following as it was for a couple of years. And then to see transportation showing better signs as well, which I think is indicative of the future growth and the economy. So there is nothing that spectacular. But I think we all being surprised a little bit by some of the positive trends we're seeing in the economy.
Tim Willi - Wells Fargo: When you reference transportation, do you mean the OTR, the trucking type companies or what exactly does that speak to?
Steven Elder: It's just one of the SIC codes that we have that would include transportation. So we have some, we don't have much of that. But it's still a portion of our overall SIC code that we cover. So it gives us a little bit of visibility into that SIC and what that trend may look like.
Operator: Your next question comes from Robert Dodd with Morgan Keegan.
Robert Dodd - Morgan Keegan: I am going back to the investment for a second, on the payroll card, I mean, adding incremental headcount there, I mean are you focused on accelerating the penetration of your existing customer base with cross-selling or you're looking to broaden that product and approach non-customer prospects. What exactly your market approach going to be there?
Steven Elder: We're doing both. So we're clearly going after customers that would not have fleet vehicles but we're also cross-selling. So our fleet sales force, our MasterCard sales force likes the ability now to offer another payment mechanism and solution for customers if they're primed for a payroll card. But we are definitely doing both. So we need to have additional sales reps to take the cross-sell and help them close. But also to go after markets that have nothing to do say with our other core Payment Solutions.
Robert Dodd - Morgan Keegan: Then secondly on the credit, if I can go back to that for second. Rise in fuel prices tend to make the credit metric look slightly better, I mean, the credit losses are tighter, fuel prices up a quarter or two ago, and the volume obviously is current quarter. So that tends to have a positive effect and I think we've see that in '11 versus '10? How much of that is a factor that if we look at '12 when adjusting for that fuel price, it doesn't look like you're looking for somewhat better credit metrics at the low end. What are contrives for your expectations about why that's going to coming in that range? Probably a wide range but 13 basis points that would be about one of the best numbers you haven't seen for years. Can you give us a bit more color on what's driving that range expectation and how you think it could end up with that bottom end?
Mike Dubyak: You're right, 13 basis points as a public company that would be one of our best years. I think '05 was probably our best year at '11. So it's not like it's out of the question. I mean essentially what we're looking at is the last three quarters they've been between 12 and 17. Our fourth quarter is really in 2011. We are in that range already. If we don't see that historical degradation first quarter, which we clearly didn't see in December, that trend has pretty well continued through January. So that's another good sign. So that's going to give us a great start to the year, which is different than most years. And I think that's how you're going to really end-up at the bottom of that range.
Operator: Your last question comes from Bob Napoli with William Blair.
Bob Napoli - William Blair: I just wanted to dig a little bit more into the transaction growth in the U.S. I guess I mean Master Card put out something yesterday that they're spending policy saying that demand for U.S. gasoline fell by 5% last week and granted this includes a lot of consumer. But their spending policy is showing weaker demand than you've seen since 2008. And trend-wise but did that end your transactions while your same-store sales were about flat. Your overall North American transactions growth slowed a little bit. I mean what is going on, is there a more use of hybrid vehicles maybe or is that a risk? How do you feel about the economy? The number of statistics sound like they were improving, but I'm not sure I see that in that piece of your business.
Steven Elder: And Bob as you imagine we have to separate consumer from commercial. Because consumer can say just taking too much of my disposable income and I've got to cut-back in and I got to still pay my rent and eat whatever. On the commercial side, it's all about their need to move there products and services. But there is still the dynamic as they turnover vehicles, they maybe getting more efficient vehicles but I don't think you're not going to see a lot of commercial fleets making a big push on high bridge or anything that doesn't give them the reasonable payback. Some will do it for green reasons. I mean, GE does it for reasons with their fleet because they are committed to electronic vehicles and fueling those vehicles or whatever or energizing those vehicles. But overall, it's just not something that we see in a big way in terms of having a major impact. But it will overtime as CAFE standards continue to rise having impact but I think it's still going to be businesses that are going to drive based on their demand.
Bob Napoli - William Blair: You think, Mike, your view of your business and would you think the economy is improving?
Mike Dubyak: I think it's slightly improving, even our last quarter we talked to a number of our key fleets in different SICs and we thought our leaders and good visionaries getting good sense of what their markets are doing. And they said that they've thought 2012 would be slightly better than 2011. I'd feel and say the same thing right now. If you have to ask me, I would say I think its going to be slightly better than 2011. And we're seeing some economic indicators saying that's hopefully going to be true. And then we just hope there is not a European crises or something else. But if you just talk about steady state, we'd like to believe its going to slightly increase as the year goes on but I don't think it's going to expand radically.
Bob Napoli - William Blair: And the transportation sector which you said that there is a little bit of over the big trucks in there. What else is in that sector? You said you feel like that sector is a good indicator?
Steven Elder: There is electric utilities communication so there is a number of things wrapped in with that SIC code. And just to be clear, on the fourth quarter transactions there was 3% growth year-over-year but the number of business days as Mike, alluded to was down 1% year-over-year and the gallons per transaction were up about 1.5% year-over-year. So if you mix those two things together and you are in those 6% range normalized.
Operator: There are no further questions.
Mike Dubyak: Thank you for hosting us and we look forward to talking everyone next quarter. Thank you.